Operator: Good morning, and welcome to Loma Negra’s First Quarter 2021 Conference Call and Webcast. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions. Also, Sergio Faifman will be responding in Spanish immediately following an English translation.  Please note that this event is being recorded. I would now like to turn the conference over to Mr. Gastón Pinnel, Head of Investor Relations. Please go ahead.
Gastón Pinnel: Thank you. Good morning, and welcome to Loma Negra’s first quarter earnings conference call. By now everyone should have access to our earnings press release and the presentation for today’s call, both of which were distributed yesterday after market close. Joining me on the call this morning will be Sergio Faifman, our CEO and Vice President of the Board of Directors; and our CFO, Marcos Gradin. Both of them will be available for the Q&A session.
Sergio Faifman: Thank you, Gastón. Hello, everyone, and thank you for joining us today. First, I hope you and your family are safe and healthy. As always, I’m going to mention a few highlights of the first quarter, and then Marcos will walk you through our market review and financial results. After that, I will provide some final remarks, and then we will open the call to your question. As you could saw from our release we issued yesterday, in the first quarter we had a great performance mainly on the back of our cement business. The strong momentum experienced in cement sales in last year’s  now this accelerating and volume are stabilizing around pre-pandemic levels. The higher operational leverage together with good performance in production input relate to world-class profitability enable us to grow our EBITDA by 49.6% and expand our margin by 341 basis points. Our adjustment EBITDA in the quarter was $52 million compared to $36 million in the first quarter 2020, when COVID-19 pandemic lockdown where establishes. Our top tier profitability levels, our focus on our working capital management and our cement deleveraging result into a strong cash flow generation and solid capital structure with a net debt ratio of 0.04 times. Finally, we continue to move towards completion of our strategic L´Amalí expansion project, which we expect to start producing clinker in the coming days. Full commissioning of the second line is programming for the next month. I will now hand off the call to Marcos Gradin, who will walk you through our market review and financial results. Please, Marcos.
Marcos Gradin: Thank you, Sergio. Good day, everyone. As you can see on Slide 4, leaving behind the fierce double-digit drops of beginning of 2020, the year ended with an estimated GDP drop of 4.3% in the first quarter of 2020. And in the first two months of 2021, the economic activity contracted around 2.4%. In the case of the seven national industry sales, the recovery was much stronger, especially in the bagged format. After a steady increase in sales volumes, since the collapse of the month of the first and second quarter last year, the amount seems to have stabilized around pre-pandemic figures.
Sergio Faifman: Thanks, Marcos. Now to wrap up the presentation, I please ask you to turn to Slide 13. Although, we are guiding to  with the virus and the vaccination plan is progressing. Cement demand seems to be establishing around pre-pandemic level and we expect a moderate growth perspective for the remainder of the years. In the sense, current macroeconomic context together with potential restriction related to a second wave cool increase then certainly an affect large construction project reopening. Yet. Our world-class profitability level, our focus on our working capital management and our cement deleveraging result into a strong cash flow generation and solid capital structure. These together with capital expenditure in L´Amalí plant, which will start producing clinker in the next days, and which will be fully commissioned in the next month or for us solid grown to rely on the year to come. Last but not least, I would like to thank all our people and the stakeholder without who this set of solid result, who’ll have been very difficult. We are now ready to take question. Operator, please open the call for question.
Operator: Thank you. We will now conduct a question-and-answer session.  Our first question comes from Nikolaj Lippmann from Morgan Stanley. Go ahead.
Nikolaj Lippmann: Thank you. Thanks for taking my question here. And congratulations on both the results and also on finishing the plant out in L´Amalí. My question on it is hot just to go down to one, but my question is you are degenerating a lot of cash and it looks likely that you will continue to generate a lot of cash. What can you do? What are the potential M&A opportunities? I don’t know if you’ve seen anything in aggregates. So what is the thinking around your balance sheet and the use of cash over the next couple of years? Thank you very much again, congrats.
Sergio Faifman: Hi, Nikolaj. Thank you for your question.  Regarding the cash – exceeding cash, we are working – as we mentioned before, we’re working on the Board of Directors under the committee of finance into a long-term plan.  In the – last time to now, we have been working with two banks in order to think about, and to strengthen our strategy and to think what to do with this exceeding cash.  So under this analysis, we’re thinking on a more aggressive dividend policy, some acquisitions locally, or some deal abroad.
Nikolaj Lippmann: Yes. Got it. Thank you very much.
Operator: Our next question is from Alberto Valerio from UBS. Go ahead.
Alberto Valerio: Hi, everyone. Hi, Gastón, hi, Sergio, and Marcos, congrats on the results, I think it was the best results in market ever. I’d like to ask you additional color on magic games, I think, was close to 3.5% year-over-year, and even with the price is U.S. terms drop a little bit, if you could provide additional color, would it be very helpful on these margin extensions? Thanks.
Gastón Pinnel: Sorry, Alberto, we are not clear if we understood the question, is regarding the margin expansion?
Alberto Valerio: Exactly, Gustavo, if you could just provide additional color  reduce 36% of EBITDA margin, nearly 3.5% extension from first quarter of 2020?
Sergio Faifman: Hi, Valerio, thank you for your question.  So, regarding the margin expansion, there are a few factors playing in. First, we have to remember the lockdown that happened in March last year.  So, logically the higher volume this year comes together with a higher cost solution per ton.  Additionally last year between April and May, we signed some natural gas contracts, which had an impact not only last year, but also in this first quarter.  So, finally our performance that we improve as a continuous operation, and also the pricing policy, which was also positive during the period.
Alberto Valerio: Just a follow up, can we have the level of capacity that Loma is running at the moment, and at what capacity, which we you’ll be running after L´Amalí plant which you operating. Thanks. That’s all my questions.
Sergio Faifman:  Currently, we are working at 80% to 85% of our capacity.  And you should remember that the expansion of L´Amalí is represents additional 40% of our total capacity.  Obviously, the second line will enable us to optimize to further optimize our production, and to benefit from the costs – the seasonality in our costs.
Operator: Our next question is from . Go ahead.
Unidentified Analyst: Hi, good morning. Hope you’re doing well and congratulations on another great quarterly result. I have one question regarding, your gas supply contracts. How do you see the new Biden environment and the gas market impacting on margins as you start to renovate as contracts? I don’t know if you have meaningful maturities this year and trying to understand, if these are sort of a straightforward revolving of the contracts or giving your long standing relationship with the suppliers. You usually you’re able to perhaps negotiate some discount versus market prices. Thanks.
Sergio Faifman: Thank you for your question, Nicholas.  As you know, there has been some issues with the supply of natural gas, they rated from some conflicts in the natural gas basins in Argentina.  Last month, we had renovated our natural gas contracts for the next 12 months.  Many of those contracts, we were – they raised the awareness that we may have some issues, of supply due to the supply problem that we mentioned before.  So during that situation, we took, two concrete actions, one, related to the import of petcoke yet for to supply, our – to guarantee our winter production, and the other one to renew some of the contracts that we were mentioning.  And as a consequence, the other risk that was mitigated is our capacity to produce them and during the winter.
Unidentified Analyst: Okay. Thank you. Very clear.
Operator: This concludes our question-and-answer session. I would like to turn the call back to Gastón Pinnel for closing remarks. Oh, I’m sorry, there’s more questions. Nikolaj Lippmann from Morgan Stanley. Go ahead. Nikolaj?
Nikolaj Lippmann: Sorry. I’m just muted. So sorry for coming back, but just a clarifying question had. Did I understand this correct? Your importing petcoke for the winter period to some degree, but you don’t expect it to have a negative impact on your cash cost. It sounds very counter-intuitive; I was just wondering if I got that correct?
Sergio Faifman: Thank you, Nikolaj.  So, yes, we are importing one vessel of petcoke. And we’re going, produce during the winter with a mix between petcoke and natural gas.  Additionally, during winter, just to remember that we do the overhauling of our equipment, and that’s why we typically, we produce in a lesser extent during winter.  So without a mixture of petcoke and natural gas and the contracts that we already have signed for natural gas, we do not expect by volatility in our production costs.
Nikolaj Lippmann: Got it. So it’s more like an insurance policy. Thanks for clarifying.
Operator: And so, now it concludes our question-and-answer session. I would like to turn the conference back over to Gastón Pinnel for closing remarks.
Gastón Pinnel: Well, thank you for joining us today. We appreciate your participation and your interest in our company. We look forward to meeting more of you over the coming months and providing financial and business updates next quarter. In the meantime, the team remains available to answer any questions you may have, and thanks again, and stay safe.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.